Operator: Good morning. My name is Emily, and I will be your conference operator today. At this time, I would like to welcome everyone to the América Móvil Third Quarter 2022 Conference Call and Webcast. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session [Operator Instructions].  Now I will turn the call over to Ms. Daniela Lecuona, Head of Investor Relations. Please go ahead. 
Daniela Lecuona: Thank you. Good morning everyone. Thank you for joining us today to discuss our third quarter financial and operating results. We have on the line Mr. Daniel Hajj, CEO; Mr. Carlos Garcia Moreno, CFO, and Mr. Oscar Von Hauske, COO. 
Daniel Hajj : Hi Daniela. Good morning everyone, Carlos is going to make the summary of the results. 
Carlos Garcia Moreno: Thank you, Daniel. Good morning everyone. Although increasingly hawkish tone by the Fed Governor on the back of continued inflationary pressures, brought about renewed increases in U.S. interest rate in the latter half of the third quarter, from the first half with 10 year rates ending the quarter at 3.33%, just making a rate of a 4% of [indiscernible], that was the context of the third quarter for us.  In the quarter we added 2.9 million wireless subscribers of which 1.9 million were postpaid. More than half of the new postpaid clients came from Brasil, with Austria contributing 329,000 subs, Columbia 215,000 and Peru, 155,000. Net subscriber gains in prepaid amounted to 1 million, with Mexico leading the way, with 402,000 net adds followed by Columbia with 300,000 and Central American and European blocks with approximately 135,000 each.  On the fixed-line platform, broadband access has increased by 156,000 in the quarter, with Argentina being the main contributor and the Central American Eastern European blocks following. Mobile postpaid was our fastest growing active group, increasing 11.9% year-on-year, 118 million followed by mobile prepaid that climbed 8.2% to 190 million. In both cases access growth accelerated in the third quarter.  On the fixed-line platform, broadband access lines rose 2.1% to 31 million, while Fixed Voice and Pay TV access fell 1.6% and 1.3% respectively. The latter appears to be on an improving trend. Our third quarter revenue reached MXN215 billion. It was up 1.8% year-on-year, with service revenues rising 3% in Mexican peso sense. At constant exchange rates, service revenue expanded 5.9%, and mobile service revenue jumped 9.7% and fixed-line service revenue remained almost flat but growing 0.2%.  Year-over-year, the Mexican peso appreciated strongly vis-à-vis the Colombian and Chilean pesos, 12.9% and 18% respectively, and even more versus the euro, 16%. It remained practically flat vis-à-vis the U.S. dollar and the Chilean peso. The appreciation of the pesos extends difference between revenue growth in nominal constant exchange rate. Mobile service revenue rose more than 9% year-on-year at constant exchange rates, both is the prepaid and the postpaid segments. It was the fastest rate of growth of -- in least five quarters with postpaid revenue growth accelerating in each of the last two quarters, partly board by 5G services.  Brasil led the way in mobile service revenue growth at 32.5% which includes the impact of the incorporation of part of Oi’s mobile clients followed by Mexico and Eastern Europe with 9.7% and 6.9% respectively. At 3% Columbia posted its best revenue growth in third quarter as did the Central America block with 6.5%. Ecuador on an improving trend for several quarters now, posted a 1.6% revenue increase in the period.  On the fixed line platform, growth and revenue growth 3.4% at constant exchange rate and that of copper network increased 12.6%, also the fastest pace in at least five quarters, helping offset 5.4% reduction in Pay TV services and a 6.1% decline in wireline voice revenue. Eastern Europe with Dominical Republic and Puerto Rico were the top performers with double-digit growth and revenue growth.  Corporate network was our fastest growing business line across the board with the Brazil posting a 27.7% rate; Columbia, 14.4% and Mexico 8.1%. Fixed Broadband revenue increased between 4% and 5% in both Mexico and Brazil, with Eastern Europe revenue surging 13.5%. Our EBITDA rose 2.3% year-on-year, to MXN83.2 billion. It was an increase of 5% at constant exchange rate, with EBIDTA margin, which have been on an improving trend all year, expanding to 38.8% from 38.6% a year before.  Brazil and Eastern Europe were the main generator for EBITDA growth, with 10.8% and 8% respectively. EBIDTA expansion helping about a 5.7% increase in our operating profit to MXN44 billion resulting an MXN18 billion net profit in the quarter, after MXN17 billion in comprehensive financing costs, that were 33% below that of the prior year, mostly on account of the foreign exchange losses incurred then. The increase in current and deferred taxes has mostly to do with our current book carrying booked interest and tax assets a year ago which reduced the line item at the time.  We didn't sustain [ph] that increase in profit. The difference is simply increased -- explained by increasing profits to [indiscernible]. Our operating cash flow allowed us to fully cover our capital expenditures of MXN105 billion in the nine months to September. The remainder was funded with MXN72 billion in net financing. So MXN545 billion [ph] was used in shareholder distributions, including MXN21 billion in share buyback, MXN20 billion in labor obligations and MXN 13 billion in the net acquisition of ownership interest coming from the acquisition of a portion of Oi’s mobile clients on one hand and the sale of our interest in Claro Panama on the other hand.  Our net debt excluding leases ended September-October at MXN412 billion equivalent to 1.39 times our last 12 months EBIDTA after leases. The spin-off of our Sitios Latin America in August resulted in the separation of 29,090 towers in 13 countries. But also brought about a reduction of MXN47 billion in our net debt as it migrated over to Sitios.  With this summary I will pass it over back to you Daniel Hajj. Thank you, Daniel.
Daniel Hajj : Thank you Carlos. We can start with questions, please. 
Operator: Thank you [Operator Instructions]. Our first question today comes from Diego Aragao with Goldman Sachs. Diego, please go ahead. 
Diego Aragao : Yes, good morning. Thank you for taking my question. The first question is related to tower spin-off. Can you help us [indiscernible]…?  [Multiple speakers] 
Daniela Lecuona: Diego, we're -- I think we have a -- Diego, you hear me? 
Daniel Hajj: Yes, you have a bad connection, Diego. Can you -- we don't hear you very well, please. 
Diego Aragao : Is it better now? 
Daniel Hajj: A little bit better, okay. So speak a little bit slowly because I don't hear -- we don't hear you very well. Thank you. 
Diego Aragao : Sounds good. So yes. So the first question is related to the tower spin-off. I was wondering if you can help us to quantify the impact on your financials related to the conditions. And if you can also provide the cost for these towers for América Móvil? And secondly, I would like to understand your tax rate in the quarter which came a bit higher than normally this quarter. Thank you. 
Carlos Garcia Moreno: We don't understand the first question. The second question on the tax rate, is what you are asking, Diego? 
Diego Aragao : Yes, so the tax rate in the quarter as well as the cost of release of the towers that you spun-off recently. 
Carlos Garcia Moreno: Okay, on the tax rate in the quarter the effective tax rate was high, was 40%. It was mostly to do with the tax regime in Mexico. As you know we have the inflationized adjusted tax regime which in essence will allow you only to deduct the quote-unquote real interest payments on the debt. So not the nominal interest, you can deduct that, only the real payment, that is the nominal rate minus the inflation. As the inflation went up and has basically always matched the weights on the debt of América Móvil, the deductions for interest payments in Mexico have become much smaller. So that's basically what explained the situation in the quarter.  It obviously also have to do with there being a smaller profit in this quarter, but it was basically to do with this inflation -- inflationary accounting. Okay, there will be some changes in our setup, so we don't expect this to continue going forward.  On your first question which had to do with the tower. We didn't quite hear it, so maybe you can repeat it again, please. 
Diego Aragao : [Indiscernible]. Can you just give us the guidance around that? Thank you.
Daniela Lecuona: Diego, you have a very bad line. Why don't you send me your question via text or email? And I will read it out loud, and while I get it, we can take the following question. 
Diego Aragao : Perfect, I'll do that. Thank you. 
Daniel Hajj: Thank you, Diego. 
Operator: Our next question comes from the line of David Joyce with Barclays. David, your line is open. 
David Joyce : Thank you. Can you please help us understand if the wireline RGU weakness was more from a macroeconomic softening, or was it from a step-up in competitors' offers, or are you just seeing your own clients switch to mobile-only voice and video? Thank you. 
Daniel Hajj: Yes, good morning. Overall, in the results of this quarter you see a very good increase in revenue in mobile and a good trend in the fixed side. So we grow 156,000 subscribers in the fixed side. So, we have a good increase. We used to have in the first quarter and second quarter negative trend in the revenue service in the fixed line and today we have 0.2% increase in the fixed side. So we are increasing, and I think we're doing much better.  And the competition is high, the competition in some countries higher than in other countries, in the fixed side. There's a lot of companies that are putting fiber all around Latin America. But I think we have a good service, a good combo, and we're offering mobile convergence and it's helping us to maintain and to have a better rate, less disconnections with this. We have mobile fixed and broadband together in a combo and its helping us.  Pay TV is also very important. We are growing also over there. It being less the rate on these connections on the Pay TV. So I can say that overall, in mobile we do very good in the revenue growth. And in fixed the trend is going better. We're growing 0.2% and we used to have negative growth in the fixed size in the other quarters. 
David Joyce : Thank you. And could you please update us on your plans for your 5G and fiber rollouts, where you expect to be by the end of this year, and end of next year in your key markets. 
Daniel Hajj: Again, again, please. 5G and growth on fiber is what we're asking? 
David Joyce : Yeah. How much of your plan do you expect to be upgraded by the end of this year and next year for 5G and for fiber? 
Daniel Hajj: It's different in each country. What I can tell you that from September last year to September this year we have been putting around the 7.5 million houses in fiber. So I think we do a very good increase in houses in fiber. I think it's one of the highest that we have been having in the last year and it's helping us to get more speed, better quality and to have more customers. So we are upgrading. And part of this is upgrading our network, the other part is going to new cities, greenfields there. So that's what we're doing. So it's different in each country but that's more or less what we have been doing.  In 5G, in countries where we have licenses, let's say in Mexico, in Mexico we already have 64 cities, the main cities in 5G. We have covered more than and 60% of the population in 5G. You could see that in Mexico 5G is helping us to increase our ARPU in postpaid. We increased our ARPU 7.6% in Mexico. So 5G is helping. The ARPU in 5G is higher than the ARPU that we have in 3G and 4G. So 5G has been very successful in countries where we are putting 5G.  In Brazil, we are developing, we're still starting to grow in 5G. So in the countries, where we have license, 5G has been with a very good result. I don't know if Oscar, wants to talk a little bit about more about the fixed ARPU. 
Oscar Von Hauske: I will mention we are doing the homes passed [ph] as you mentioned. So we are upgrading the cable network across the footprint. [indiscernible]. 
Daniel Hajj: So we're upgrading the network, plus putting more fiber is what, yes. 
David Joyce : Okay, thank you very much. 
Daniel Hajj: Thank you. 
Daniela Lecuona: I have Diego's question, so maybe we can continue that one. About the tower spin-off, can you help us quantify the impact of your financial expenses in 3Q '22 related to the leases. It will be great, if you can provide that cost of these towers for AMX as well. 
Daniel Hajj: The question is more or less cost in terms of EBITDA. So the difference would be probably at an annual rate approximately $350 million. 
Carlos Garcia Moreno: That we are going to pay to 
Daniel Hajj: Sitios. 
Carlos Garcia Moreno: Sitios is going to be around $250 million. 
Daniela Lecuona: And then there's a follow-up question. AMX continues to reduce its stake in KPN. Can you give us some guidance about it? 
Daniel Hajj: We have been selling at a point where we thought were good. I don't think that we have any specific objective or any target in terms of getting -- doing away with the issue at any time soon. I think it's very opportunistic. We have said in the past this is part of the financial investment. We will be taking profits from we think it's convenient. 
Daniela Lecuona: We can proceed with the questions from the audience please. 
Operator: Thank you. Our next question comes from Alejandro Chavelas with Credit Suisse. Please go ahead. 
Alejandro Chavelas : Hi, [indiscernible]. Can you hear me well? 
Daniel Hajj: Yes, certainly, yes. 
Alejandro Chavelas: Okay, great. Margins in Chile were very low this quarter. Was there anything particular that explains this? And should -- do you have any estimate on the level of margins that we should expect going forward. And also on the potential cost synergies that could be achieved in this region, with the VTR merger in the long-term? Thanks. 
Daniel Hajj: Well, in Chile, I think, finally, we got the authorization. And we are starting with this joint venture in my view. Well, first, I have to say that current conditions in the market are really aggressive. So there's a lot of competition. Prices has been going down and for the size of the country there are a lot of competitors in fixed, in broadband a lot and very aggressive in the mobile side.  In terms of the economic situation of the country, Carlos can tell us that the exchange rate has been going high and inflation also is high. 
Carlos Garcia Moreno: Yes, the country has developed a very major canvas sheet [ph] and that's have been driving the loss of a FX we serve, and that's how probably [indiscernible] with the pressure on the peso. We think that this will be more content on cohort and it has been a part of the first -- in the effective months of the year. 
Daniel Hajj: So I think we're happy to do the joint venture. We are more focused. We were more focused on the mobile and in the corporate side. Liberty BPR has been more focused on the broadband and on the TV. I think together we do, I think a very good combination, and what we're going to do you're going to see in the next years that we're going to have a good synergies in the company. We're going to invest synergies in CapEx, in reducing cost synergies.  We already put a new management there. So I think for me I'm confident that the next year we're going to see good improvements in the Chile operation. Together we have more or less the size of the company. So it's going to help us, economy of the scale over there. So I am sure that in the next year, we're going to be good improvements in Chile. 
Alejandro Chavelas: Thanks so much, Daniel. Perhaps a follow up. Have you already adjusted prices for the postpaid subscriber base for inflation? How high was the adjustment in postpaid for you?
Daniel Hajj: I don't remember, I think, we adjust some prices in postpaid in Brazil. I don't know what's -- how much. I don't think that exactly on price adjustment depending in the plans, maybe but yes, we do adjustments only on the postpaid subscribers in Brazil. 
Alejandro Chavelas: Thanks so much. 
Daniel Hajj: Thank you. 
Operator: Our next question comes from Fred Mendes with Bank of America. Please go ahead, Fred. 
Frederico Mendes : Hello, good morning, everyone and thanks. I have two questions as well. The first one on Mexico, and I guess the follow-ups on a previous question on your Mex [ph], there was an important improvement in this quarter growing 4.7% year-over-year. I'm just wondering if this is an impact from your fiber deployment and now it's you containing share and it is getting harder to let's say poach our clients or if for any reason competition is easy a little bit or if something related to price, just trying to understand the dynamics. That is my first one.  And then the second one in Brazil, on mobile, you are doing very well in terms of net adds and your performance has been solid on the mobile front. But my question here is, you increased the number of clients on postpaid by close to 25% year-over-year, including Oi. If these at some point could be a challenge in terms of billing, in terms of collecting the receivables from these postpaid clients, and we are exchanging the structure of your clients Brazilian a very fast way how could that eventually could be a challenge for the operation in Brazil. Thank you. 
Daniel Hajj: Once I start on Brazil. I don't think there's a challenge over there. I think we have been preparing to take all these customers in prepaid, and not only on postpaid, also in the prepaid side. And we were working and we're going to still work on that to bring these customers to our billing system, to our network, and that we already do that in the Nextel acquisition that we have and we were very successful. So I think we're going to have good synergies. We're on target on the synergies and we feel comfortable passing these subscribers to our billing network customer care and everything.  So we have a good experience, Brazil, do that very good, and we're confident that we're going to have a successful transit.  And in Mexico, Oscar. 
Oscar Von Hauske: Around Mexico we mentioned before, we are bringing very aggressive plan on fiber, almost 68% of our network, we are accelerating with fiber, and we will continue the migration of every one of our customer to fiber and getting into new areas of greenfields. So we are building this year almost 2.9 million home passed with fiber. And now we are bookings in the corporate side. We have been growing sectors like cloud, that everyone, like security has a very good development this year.  So I think the combination gives us a way to compensate the decline that we have in gross revenues and we will continue to grow in that side. 
Frederico Mendes : Thank you. Perfect, very clear. Thank you Oscar. Thank you Daniel. 
Daniel Hajj: Thank you. 
Oscar Von Hauske: Thank you. 
Operator: Our next question comes from the line of Carlos De Legarreta with ITAU. Please go ahead Carlos. 
Carlos de Legarreta: Hi. Thank you. Good morning. Thanks for taking the question. I have two actually. The first one just going back to the spin-off the towers. Now that the CapEx required for the tower deployment has been mostly moved to Sitios LATAM, should we expect any changes in the CapEx guidance on a yearly basis for you guys?  And secondly, on this same issue, I understand you ended up keeping some of the towers in the Peru and Dominican Republic. Is there a possibility that you will divest those towers to Sitios LATAM down the road? And if so, could you perhaps an extraordinary dividend with those proceeds? Thank you. 
Daniel Hajj: On Sitios LATAM, we I think -- the CapEx for this year, we are not going to have it. We have only three months, four months without Sitios. So this year is no change. And for next year we're still working on our project. We haven't finalized that but we still see very good options to growth. There's not too many sites that we have been doing every year. So we have a big amount of sites but there's not big ones that we have been doing in the last year. And Mexico was out with [indiscernible]. They were doing the sites.  So -- and we have been seeing good opportunity some growth on broadband on 5G. So I don't know exactly if there's going to be a small reduction on the CapEx or not, because of sites but we still see very good opportunities in growing in Latin America. So that's important and we're going to see and we're very looking very carefully to have a very efficient CapEx also for next year.  And the other question is Dominican Republic and Peru, yes. We're going to sell to -- the towers to Sitios. I think, as we put it in the release that we believe that we think we are going to sell them. And maybe at the beginning of next year, we think that we can concrete those operations. Still not -- depends also on the site management and what they decide. But we think that we're going to sell Dominican Republic and also Peru. 
Carlos de Legarreta: Thank you, Daniel. And if I may follow-up just on Argentina, if you could comment, what is going on in terms of the competitive environment? I mean you guys are adding subscribers both in wireless and fixed. However the results are - I mean in real terms as you present them are being pressured. I understand this is given that the pricing is very aggressive currently. But if you could comment, that will be great. Thank you. 
Daniel Hajj: No, I don't think we are changing our plan in fixed or in mobile. I think in some quarters we have more increase on prices because of the inflation. In other ones, we have a little bit less price increase and we fell short of inflation in some months, so doesn't depend on that. I think we are aggressive because we are doing households with fiber. Our plans are good. Our quality is also very good. And well I think in Argentina we are doing exceptionally good in broadband, growing in TV and doing good in the mobile side.  So I'm not -- if you think we are not reducing prices or doing big promotions to have this growth. I think we have been stable on the prices and increasing, maybe not increasing at the months that we need, but maybe in the next month we do those increases and that's being okay for us. So we're growing and we're doing also -- it's important for us. We used to be only mobile. Today we're doing combos and our customers with this combo in Argentina has been very happy with the combo, having TV, having broadband and mobile prepaid or postpaid there.  So that's also very good for us to have less change in the future. So we're happy with the development in Argentina. 
Carlos Garcia Moreno: Just to add to what Daniel said, I think that the contribution of Argentina I mentioned in the notes to the growth of broadband access is also enormous. I think they added nearly 100,000 broadband accesses alone. So I think the momentum is very clearly. We have had a very good rollout [ph] in Argentina. And I think that the issue with Argentina that they have inflationary accounting, and it's very difficult to discern exactly what is going on from the accounting. But from the point of view of the growth of the business in terms of accesses, from the point of view of market share, from the point of view of cash flow is doing really well. 
Daniel Hajj: And another important thing is we still see very good opportunities in the big size in Latin America. I think there's specific some countries that we think that the growth to be good. It's a good opportunity, still good prices over there. And with everything that we have in the country, easy for us to increase our participation in the broadband and TV side. So that's what we're looking for next year budget.  And to, also to still do this fiber, to the house and to operate our cable that we have in each country. 
Carlos de Legarreta: Appreciate your comments guys. 
Daniel Hajj: Thank you. 
Operator: Our next question comes from Lucas Chaves with UBS. Please go ahead, Lucas 
Lucas Chaves : Hey guys. Thanks for taking my question. So the first one, we noticed reduction in the KPN investment over the calls from 20% to 17% something. How these sales were made and do you expect to continue with that in the next quarters? And if I may ask second one, what is the main free cash flow improvement you except for 2023, and how could that affect your whole distribution going forward? Thank you. 
Daniel Hajj: The second question we don't hear you. What was the second question?
Lucas Chaves : So the second question was about free cash flow improvement. So what we expect for 2023 and how do you expect that to affect your cash flow going for? 
Daniel Hajj: Well, we haven't finished our budget for 2023. We're still looking as we said on the CapEx, on the growth. Cost reductions is important inflation in some countries also it's important because the pressure on prices has been there. We're working on that and I think we're going to finish that end of November. So that's well within our budget for next year. But they still, as I said still seeing good opportunities in 5G and broadband in Latin America. 
Carlos Garcia Moreno: On the previous question, we indicated and we have mentioned in the previous question that it's basically as we have said before this financial was, and we don't have any specific target in terms of where we would want to be going forward in terms of reductions. We did have some opportunistic sales in the corridor and that's basically what extent. But we don't really have any target and it will very much be a function of the price that we get to see in the market. 
Lucas Chaves : Okay, thank you. Very clear. 
Daniel Hajj: Thank you very much. 
Operator: Thank you. Our next question comes from Marcelo Santos with JPMorgan. Please go ahead. 
Marcelo Santos : Hi, good morning. Thanks for taking my questions. I have two. The first one is regarding the opportunity you just mentioned that you saw on LATAM, fixed-line. So you said, you see a lot of room for growing broadband. Would you rank the main countries that you see most opportunity to specifically grow their broadband?  And the second question is regarding ICMS in Brazil. So you passed only to postpaid, I wanted to understand better, how is the behavior on prepaid? Did you capture higher revenues? Did clients -- did you -- do give more allowance to clients? How has the prepaid business done with the ICMS reduction in Brazil? Thank you. 
Daniel Hajj: Well, I think on the opportunities that I'm seeing in Latin America, there are I think good opportunities for us in some countries because we are not so strong. Let's say Central America, I think we see good opportunities. Penetrations are low. Ecuador is also good opportunity. Peru is good opportunity for us because we are still rolling out fiber and growing very good. Dominican Republic is also doing good. In Mexico we have been very strong rolling the last two years. We're doing a lot of new fiber and moving some customers to that. It's very good.  Also in Europe, in all the Eastern countries in Europe, we are also moving from only being mobile to being mobile and fixed and it's also good. In Austria, we have a new regulation very-very --let's say taking out a lot of restrictions that we have for the fixed side and it's also -- it's going to help us to increase our broadband and our fixed share there. So there's a lot. In Brazil we are doing good. We have been entering some of the new areas, and every time that we enter in new area we are doing also very good.  We have more competition in the areas where we have but when we put fiber in other areas there's a good growth and new methods for us good methods for us. So, that's more or less how we see. In the other sites next year we have also 5G in some countries. I think there's some we're going to improve Brazil in 5G, maybe we have -- in Colombia we don't have the license but if we get the license in 5G, then we're going to do that.  Chile I think we're going to start to rollout 5G also. So we are going to do more on 5G, because it's increasing. So there's big opportunities in each country. So we are really working on very detail and where we want to put the CapEx and where is more profitable, the part of the capital that we are pulling. 
Carlos Garcia Moreno: On your question on that, in Brazil, let me just point out that this is really interesting. Revenue growth in prepaid in Brazil in the quarter was 82%, 82.3%, [ph] which are already -- yes, it incorporates a limiting factor for it, which was already in second quarter with 25%. But we also incorporate, we think the issue of the capturing the ICMS, which is basically leading people to spend a bit more on the product.  And I think it's not only in Brazil, in every place, if you take some taxes from telecommunications, from the people than the people is one that use more. They are going to use this money to use more our products and it's exactly what is going to happen. It's happening and it's going to happen in Brazil with this reduction on the ICMS. 
Marcelo Santos: Perfect. Thank you very much. Very clear. 
Operator: Our next question comes from Walter Piecyk with Lightshed Partners. Please go ahead. 
Walter Piecyk : Thanks. Daniel, just following up on those comments about Brazil and also, if you look at ARPU in general, and Mexico is obviously very good, doesn't really seem like any signs of recession. Have you seen anything beyond that? I know some economists are expecting some recession in 2023. How do you think that could impact your business, or is it possible that this has become such a necessary service for your customers, that you won't see an ARPU impact or other impacts in 2023? 
Daniel Hajj: I think -- well we don't know exactly. I think everybody's talking that there's going to be a recession for next year. We don't know exactly how deep it's going to be in Latin America and in which country we're going to have higher recession or for more time, but telecommunications has been very resilient as being a product that people is using. And I think they need that. We see that in the pandemic, now in the COVID then, people moving to their houses and using more.  And none of these things has been making everything more digital, for us. All those things are making that people is everyday more connected and needs to be more connected. So I still think that telecommunication is a product that people is going to need with recession or without recession. 
Carlos Garcia Moreno: And just to give you a reference, the latest outlook that we have for Latin America, including the latest IMS forecast, but also the demand on the banks, the only country in Latin America that is expected to be in recession over here is going to be Chile as of today. 
Walter Piecyk : That's true. Carlos can I ask you about the share repurchase. Obviously Oi took some cash. So if I look at the share repurchase activity for Q1, Q2 and Q3, it was obviously lower than Q4 of last year, but you also spent a lot of cash on Oi. Now that Oi is paid for, maybe if we kind of amortize it into the fourth quarter, should we expect the share repurchase to kind of return to Q4 2021 levels, within the next couple of quarters now that Oi is behind us. 
Carlos Garcia Moreno: See Walter, I think it's important not only to look at share buybacks but the total distribution. But we have -- which we didn't have last year, that we made all the dividend payment in one installment in August, and that was roughly equivalent of $1.4 billion. So it was quite major. If you look at total distribution to shareholders year-to-date to the third quarter, I think they've been much in line with what we did last year, okay. So I think that we will try to remain on track more or less with the distribution, based on the outlook that we have for free cash flow for the year. 
Walter Piecyk : Great, thank you Carlos. 
Carlos Garcia Moreno: Thank you, Walter. 
Operator: Our next question comes from Soomit Datta with Newstreet Research. Please go ahead. 
Soomit Datta: Yeah, I've just got one question at this point. Thank you. And it's back to Chile. Given the top macro and the tough trading conditions, in that market, I wondered if you can give any thoughts in to how you are looking to fund the JV going forward, presumably your thoughts on that may have changed with the operating environment. And I wondered is there a possibility that you'll have to put more equity into that JV in the near future. Thank you. 
Daniel Hajj: I think we all already agree on the funds that we are going to put this year for Chile. I think [indiscernible] which has gone gave us a good improvement in cash flow also there. But always we can talk. There is not any luck on that and we need to something else. So we need to sit balance with our partners and decide what to do. So it's going to depend how things are going and how things are evolving there. But in my view, I think Liberty and us are really committed to Chile and to do a very good -- have a successful on Chile.  So that's more or less what we agree and it's what will work in four now. 
Soomit Datta: Okay, thanks. 
Daniel Hajj: Thank you. 
Operator: Thank you. And our final question today comes from Megan McDonald with Barclays. Please go ahead, Megan. 
Megan McDonald : Hi. Thank you for taking my question and congratulations on the results and the two deal closings. Just two quick questions. Jumping back to Chile, I wanted to know when we could expect more detailed guidance or an update on next steps. I would assume that's probably post results. And then the other question on Chile, would you evaluate bringing in other partners? I know you have a connection to [indiscernible] for example subsea [ph] and any detail you could provide on subsea would be helpful as well.  And then finally, any color that you guys can provide on liquidity at Ecuador, Chile and particularly how much cash, and as well as debt, is at Ecuador Chile level, and additional available liquidity if you have any? Thank you so much. 
Daniel Hajj: Thank you. Good morning first. We don't have any talks with nobody. I don't think we want to have a third partner in Chile. I don't think there's a space to have another partners on the authorization. So I think the company there is very close to second place in terms of revenue and first play. So we have the size in Chile. Consolidation is Chile, I think it's very good and that's what we got.  We have been working of what we can on the synergies that we can get together, so we need to speed up on that, we need to work very hard and to do all the synergies for end of this year, and all the next year to have all these synergies there. That will give us much better results and savings. We think -- I think what we said last time is that the savings could be in synergy for more than a $100 million, that's 180 [ph] in three years.  So that's more or less what we are looking in terms of synergies. Good synergies that we could have also is that they are not going to take our customers and we are not going to take. So this churn is going to help us a lot in cost and expenses, in people. So in the network so there's a lot of things that we can do and we need to work on that. So we are focused on working on operate and not to get third partners right now.  And in terms of the liquidity, the only thing that I agree that we already have committed funds for this year, and if we need more funds next year, we need to sit down with them and to review the business cases and see what we can do. So we -- I cannot say anymore because until today we already have committed for this year. So next year, we need to sit down and to review what we are going to do if we need more funds. So that's really what happened in Chile.
Megan McDonald : Okay, great. Thank you very much. Appreciate it. 
Daniel Hajj: Thanks. 
Operator: There is no other questions we have for today. So now I'll turn the call over to Mr. Daniel Hajj for final remarks. 
Daniel Hajj: Thank you all for being in the call. Just to reiterate that I think the growth that we have in mobile was excellent in the quarter and that in fixed we're improving and I think we're going to still improve more. Thank you very much and thank you for being in the call. 
Operator: Thank you everyone for joining us today. This concludes today's conference call and you may now disconnect your lines.